Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the HyreCar Inc. 2022 First Quarter Conference Call. During today’s presentation all parties will be in a listen-only mode. Please note this conference is being recorded. Following the presentation, the conference will be open for questions.   The earnings press release accompanying this conference call was issued at the close of the market today, May 16, 2022. On our call today is HyreCar's CEO, Joe Furnari; President, Brian Allen; and CFO, Serge De Bock.  I will now turn the call over to Scott Arnold of CORE IR, the company's Investor Relations firm. Please go ahead.
Scott Arnold: Thank you, operator, and welcome, everyone, to HyreCar's first quarter 2022 conference call. Before we get started, I'd like to take this opportunity to remind you that during this call, we will be making forward-looking statements within the meaning of federal securities laws regarding HyreCar Inc. Forward-looking statements include, but are not limited to, statements that express the Company's intentions, beliefs, expectations, strategies, predictions or any other statements relating to its future earnings, activities, events or conditions. These statements are based on current expectations, estimates and projections about the company's business based in part on assumptions made by management. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call, in particular, those described in our risk factors included in our documents that the company files with the U.S. Securities and Exchange Commission. In addition, such statements could be affected by risks and uncertainties related to factors beyond the company's control. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them, except as required by applicable law. Our discussions today will include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results will be found in the earnings release and supplemental materials, that are filed with the SEC and can also be found on the Investor Relations portion of the company's website.  Now I would like to turn it over to Joe Furnari, CEO.
Joe Furnari: Great. Thank you, Scott, and welcome everybody. I am pleased to report that HyreCar had a strong start to 2022 building off the momentum from a record year in 2021. We saw strong car-share demand to support gig based services and despite persistently elevated prices in the used car market, we also maintained available supply on the platform with a substantial increase in new owner accounts.  We are now the only platform crowd sourcing vehicles for gig drivers in the United States and as a dedicated provider of drivers for rideshare and delivery platforms, HyreCar is uniquely positioned to help these platforms cover anticipated driver shortages as demand returns to pre-pandemic levels. March of this past quarter was our strongest revenue month in company history and that momentum has continued through April and May.  We anticipate macro tailwinds to continue to drive revenue and ADRs higher as used car prices level off, car supplies anticipated the flow from our warehouse initiatives, demand continues to grow for gig services and we continue to build the HyreCar ecosystem.  HyreCar’s revenue grew 28% year-over-year to $9.6 million for the quarter. Driver demand for cars remains strong with total driven sign-ups increasing 10% quarter-over-quarter in line with the increasing consumer demand for rideshare and delivery services observed by platforms such as Uber and Lyft.  Reflecting the higher year-over-year growth in mobility versus delivery bookings observed by Uber, HyreCar also saw a shift in driver by service type with a 5% decrease in percentage of rental days attributed to delivery and a 5% increase in rental days attributed to rideshare. Driver demand continued to be HyreCar’s strongest tailwind as we move into Q2.  Our supply-related operations improved significantly with median time to verification decreasing by 75% year-over-year driven by initiatives to make it faster and easier for owners to complete the listing process. We also improved the quality of selection reducing the percentage of new cars, tailing verification by 18% over the same period in 2021.  We see our performance in March as a pivotal trend reversal for our supplied vehicles on platform for a number of reasons. Number one, we have maintained organic momentum into Q2 with strong utilization rates and high rental days in April in the first half of May.  Number two, used car prices seem to be stabilizing making it slightly easier for our owners to source vehicles. And number three, we’ve set the HyreCar platform up for success by building capacity into the technology processes and systems. In the coming months, the anticipated warehousing line of credit will be leveraged for our larger partners to operate in additional markets.  With a steady and growing supply of cars from all of our fleet partners, we will be able to fully take advantage of system-wide demand increases from drivers. Because of these tailwinds we anticipate a record quarter in Q2 as we continue our organic growth trends. We’ve committed to building an ecosystem to make it even more profitable to do business on our platform.  To that end, we are excited to announce several technology powered features that continue to make HyreCar the most owner and driver-friendly platform for car share. Some example of these initiatives include; the beta launch of citation visibility and management provide an automated solution to one of the biggest pain points for owners, the management of parking citations and camera violations. Number two, in order to increase trust and transparency on the market, we are implementing new rideshare and delivery specific verification measures that will further enhance owner confidence in applicants; and number three, to increase scalability of our customer support and success teams, we are implementing automated chat that will allow us to absorb the operational impact of the increased supply.  These initiatives in flight are expected to enhance HyreCar’s core business for what should be a record-setting Q2. And finally, as we get close to HyreCar’s most significant initiative for 2022, securing the warehousing line, I look forward to sharing details in an upcoming call.  With that, let me bring in Brian Allan to expand on our vehicle initiatives for 2022. 
Brian Allan: Thank you, Joe. As Joe mentioned, we have many growth-related projects underway. I’d like to start by providing an update on our EV initiatives. We have continued to focus on increasing supply of electric and hybrid vehicles to address growing demand from our driver base and rideshare and delivery platforms.  Record high gas prices paired with higher driver payouts for these more efficient vehicles has made the availability of electric and hybrid options on our platform a priority. The number of fully electric vehicles on the platform increased 62% in the first quarter of 2022 versus fourth quarter of 2021 representing 30% of total electric cars available.  Average daily rates per EVs has increased 63% year-over-year reflecting not only higher quality EVs on the marketplace but also greater willingness to pay for these cars due to the increase in gas prices. EV rentals have continued to gain momentum into quarter two of this year with the total number of EV rentals in April equaling the total number of EV rentals for all of fourth quarter 2021 and with significantly higher daily rates from $44 to $57 over that period.  We are particularly pleased with the progress we have made with our Spring Free EV partnership, which has allowed our owners to more easily acquire EVs toward the HyreCar platform. As evidence of increasing adoption, the number of orders through this program was 48% higher in April than all orders combined during the first quarter.  We anticipate that this significant growth will expand EV vehicle availability across the country and generate more platform revenue while driving higher retention. As mentioned during last quarter’s earnings call, we continue to engage with the progressive Buy Here Pay Here dealers to increase vehicle supply while providing our drivers with an incentive to rent for longer periods.  We are partnering with select dealers in our most active markets to launch this initiative and plan to expand as we validate the program. In addition, through our strategic initiatives to increase vehicle supply, we have also observed an unexpected trend in owners shifting a greater share of their inventory from other platforms to HyreCar’s, a competitive advantage unique to HyreCar as the car sharing for rideshare and delivery services have longer rental periods resulting in the lower operational cost and more consistent revenue for owners.  HyreCar’s rental periods compare favorably to other platforms that typically average one to three days versus weeks and months on our platform. In fact, the average rental period in quarter one was two to three weeks.  As Joe mentioned, we recently launched a beta feature for proactively managing parking tickets and citations based on feedback from our owner community, about their greatest pain points. We also launched  (ph) communication for owners that have made it easier and faster to approve driver applications for their vehicles.  In addition, we have expanded owners self-service capabilities by piloting a feature that allows owners to directly invoice drivers for miscellaneous charges thus reducing HyreCar’s internal operating costs. We recognize that increasing self-service capabilities across our platform will increase market scalability, customer satisfaction and ultimately profitability.  To support our larger fleet operators, we rolled out multi-location management as a part of our HyreCar for business solution following a successful pilot. This innovative feature provides large operators with greater efficiency and visibility while offering our smaller operators an incentive to grow their fleets and increase market presence.  These enhancements will continue to drive retention and loyalty from our medium and large fleet operators whose cars drove over 70% of rental days in the first quarter.  Finally, I’d like to provide a market outlook on vehicle supply for the near-term. While we have seen these car prices gradually soften from a January peak based on Manheim Used Car Pricing Index falling for three consecutive months, prices are still up 60% from April 2019 making it extremely difficult for potential gig workers to purchase a vehicle.  Fortunately, our platform provides drivers with the opportunity to participate in rideshare and/or delivery who may be priced out of the market today. HyreCar’s marketplace provides vehicle options and increases the supply of available gig drivers, which we believe benefits our rideshare and delivery partners as the country recovers from the pandemic.  So with that, I’d now like to turn the call over to Serge De Bock our Chief Financial Officer to walk us through some of the key financial highlights from the first quarter. Serge? 
Serge De Bock : Thank you, Joe and Brian. Overall, HyreCar has performed in a turbulent vehicle supply environment maintaining vehicle inventory levels despite those constraints. We continue to reduce operating expenditures for the third quarter in a row leading to a cash burn in line with expectations.  First, let’s address volume. Rental days for the first quarter of 2022 increase 5% year-over-year from 300,000 rental days in the Q1 of 2021 and rental volume was relatively flat a per day basis compared with the prior quarter and that despite the vehicle inventory supply conditions. Our utilization rate for a fleet of 20 cars or more continue to fluctuate between 80% and 90% indicating strong driver demand across a vast majority of markets leading excess traffic demand for HyreCar vehicles continues to be strong with attractive economics for the driver.  A driver can rent a car on our platform for $59 per day on average, split between HyreCar and the vehicle owner and make $39 per hour driving 20 plus hours on the Uber platform as highlighted in Uber’s most recent earnings call. This continues to validate the driver’s opportunity for success.  Turning to financials, year-over-year net revenue in Q1 grew 28% to $9.6 million from $7.4 million in the same quarter of last year and is relatively flat to the previous quarter. The year-over-year favorable revenue growth delta of 23 points over 5% increase in rental days continues to stem from; pricing and risk control enhancements including dynamic pricing, and a favorable market trend in daily rental rates reflecting constrained car supply.  Revenue growth organically accelerated in Q2 boosted by increasing rental volume and is currently trending between $10.2 million and $10.7 million, which will deliver HyreCar’s highest revenue quarter so far. Daily average net revenue, which represents net revenue divided by rental days increased from $24 in Q1 of 2021 to $30 in Q1 of 2022.  We expect daily average revenue to grow further in 2022 based on current market trends and continued optimization of our dynamic pricing model with additional analytics resources hired this quarter. On the cost side, Q1 gross margin experienced a slight seasonal downturn hitting 31% from 34% in Q4 of 2021 due to more accident per rental day in the winter season, as well as continued trends in inflation for car parts and vehicles.  We have more than offset these inflationary trends over the past three quarters by focusing on cost control, better processes and appropriate risk pricing. We expect to continue being able to pull those levers positively impacting profitability in the future. Meanwhile, we have maintained most of the Q3 and Q4 gains in customer satisfaction balancing risk control and retention of profitable drivers.  Looking ahead, we are still on target to pass 40% gross margins by the end of the year based on ongoing initiatives targeting insurance products, improved driver screening and incentive for our drivers with lowest profiles and no claims history.  Operating expenses totaled $8.3 million in Q1 of 2021, a decrease of $0.2 million over Q4 of last year. Compared to Q1 of 2021, we cumulatively reduced our operating expenses by close to $2 million or approximately 20%. On a cash basis, we are close to reaching our target of $7 million a quarter earlier than expected with cash operating expenditures reduced from $7.4 million in Q4 of 2021 to $7.1 million in Q1 of 2022.  The Q1 savings we achieved through renegotiating the agreements and continued focus on reducing non-growth related expenses. Our adjusted EBITDA maintained most gains made in Q4 at a $4.1 million loss substantially down from the $5.1 million loss in Q3 and a $7.1 million loss in Q2 of 2021. This resulted from our continuous improvement in managing cost of revenue, specifically insurance while at the same time maintaining a sufficient cash operating expenditure and infrastructure to support growth at scale.  We expect continuing positive adjusted EBITDA trends in Q2 of 2022 and beyond with economies of scale through top-line growth, increased gross margins and maintaining operating expenditure especially through gains.  Our cash position was $11 million at the end of Q1 2022 and we are aiming to strengthen that position in the next quarter in conjunction with our investment in growth as we continue to pursue and support larger financing opportunity for our fleet operators and optimize our cost structure.  Looking ahead, we have entered Q2 of 2022 with renewed organic growth and increased revenue forecast between $10.2 million and $10.7 million for the quarter, as well as improved margin from seasonal patterns and continued cost and pricing improvements. We are aiming to maintain our cash operating expenditure around $7 million with our current estimated cash flow breakeven point still at between 6,500 and 7,000 cars rented on the platform.  Our runrate revenue between $65 million and $70 million based on our projected cost structure. Our primary financial objectives in 2022 remains to stimulate car supply on the platform and drive top-line growth to reach cash flow break even as rapidly as possible.  Back to Joe for final remarks. 
Joe Furnari : Thanks, Serge. And to summarize, HyreCar had a strong start to the year with significant and growing momentum as we enter the second quarter. Financial reflected strong year-over-year growth consistent with increasing demand and supply. While we continue to roll out innovative products and features for both drivers and owners to increase marketplace liquidity, while reducing operating expenses and increasing customer satisfaction.  As we look forward to the rest of 2022, we are excited to substantially increase supply in order to satisfy demand, especially with the increase in expected driver demand from gig services.  Thank you, everyone for taking the time to join us for our call. We will look to update our shareholders periodically on the progress we are making.  With that, operator, please let us move to Q&A. 
Operator:  And our first question comes from Mark Argento from Lake Street. 
Mark Argento : Hey guys. Nice quarter. Just a couple quick ones from me. One, I just wanted to touch on kind of the key levers on the gross margin line. I know it’s a little bit below what we saw in Q4, still up nicely from levels of last year, but maybe just remind us what are some of the key drivers of the gross margin line? 
Serge De Bock: Absolutely, hi, Mark. On the gross margin line, obviously, the biggest expense is insurance cost, you have insurance premium and then also claims expenditures and what we’ve seen in Q1 was actually an increase in accidents per rental day due to the winter season, very typical in the insurance industry and that set us back a bit in the quarter, but it does not take away that our improvement in the margin and over two quarters of last year, we managed to improve the gross margin by ten points.  So, I think we are still on track to aim for our gross margin above 40% exiting this year and this is mostly a seasonal trend. One other thing that I want to highlight on the margin side is, one, it’s a seasonal trend we’ve also seen in the industry an increase in the price of car parts and vehicles and that has an impacted as well our cost to operate. But so far we will be able to more and offset that by pricing actions and being able to improve our processes and risk selection of our drivers. 
Mark Argento: That’s helpful. And then, just turning to the activity on the platform it look like overall rental days are up about 5% on a year-over-year basis, down a little bit sequentially for Q4, could you talk a little bit about number of cars you have on the platform and then, should we – when could we see actually rental days maybe tick up and not rely so much on ARPU for the revenue? 
Joe Furnari: Yeah, what’s interesting on a macro basis, we are seeing some green shoots in the car marketplace and the used car marketplace. And I think Brian can touch a little bit on it. But at a high level, you are starting to see prices had a leveling off and/or coming down in some categories.  And so, that is enabling our fleet operators with top 40 essentially that we have in our HyreCar for business accounts able to purchase cars and to have some stability out there and pricing to kind of know where we are going. So, and I know Brian has been really close to talking to all 40 of those major suppliers on our platform. So, Brian, what do you think about that? 
Brian Allan: Well, I agree with you of course, Joe. The opportunity and I have referred to it in the prepared remarks is, we actually have an opportunity to get a larger share of wallet of inventory that’s already out there. So, even though market supply maybe tight in certain and in most markets, we can get cars from other platforms from operators that currently are part of the HyreCar ecosystem and we are already seeing a nice and surprising shift because of our uniqueness that our renters rent for longer periods of time.  So, we are seeing more of that now with the longer rentals and larger supply and of course, we are starting to share that message with other owners for the opportunity for them to earn more consistent income and have very high utilization of their inventory. 
Serge De Bock : I can add that, essentially, we had an increase in our guidance and you can see the revenue coming up in Q2 where we expect it to end and that’s a mix of both rental days and also pricing action but rental days is beyond the upswing in terms of  positive factors. 
Mark Argento : Do you anticipate in - when you factor in the rental day increase, does that assume more vehicles are on the platform or how do you think about actual vehicles? 
Joe Furnari: Yeah, more vehicles, higher retention of those vehicles as we focus on various objectives to keep drivers and cars risk underwriting those drivers appropriately etc. So, all of the above I think are trending in the right direction right now. 
Mark Argento : Great. Thanks, guys. I’ll hop back in the queue. 
Joe Furnari: Thanks, Mark. Thank you. 
Operator:  And our next question comes from Mark Argento, Lake Street. Excuse me. Mark, you may go ahead. 
Mark Argento : Sorry about that guys. I was on mute. I wasn’t expecting to come back so quick. Just one more question on the vehicle availability, the warehousing line you guys referred to in your prepared remarks. Any update there on where you are in that process? Thanks. 
Joe Furnari: Yeah, we are really close. I mean, we essentially agreed in principle to the majority of the business – the business attribute to the deal and we are jumping through the last few hurdles to be able to get there. Our best estimate is in weeks at this point. 
Mark Argento : Great. Thank you. 
Operator:  This concludes our question and answer session. I would like to turn the conference back over to Joe Furnari for any closing remarks. 
Joe Furnari: Well, thank you everyone for joining and we are looking forward to an exciting 2022. So we will update you periodically on the progress we are making. Have a great week. 